Operator: Greetings. And welcome to the CV Sciences’ Fourth Quarter and Year End 2022 Conference call. [Operator Instructions] This conference is being recorded. I’d now like to turn the call over to CV Sciences for an introduction. Please go ahead.
Unidentified Company Representative : Thank you, and good morning, everyone. With us today with prepared remarks are CV Sciences' Chief Executive Officer, Joseph Dowling; and Joseph Dowling, Chief Financial Officer. After the prepared remarks, we will take questions from the analyst community. I would like to remind you that during this call, management's prepared remarks may contain forward-looking statements. These forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from those anticipated by CV Sciences at this time. When used in this call, the words anticipate, could, estimate, intend, expect, believe, potential, will, should, project and similar expressions as they relate to CV Sciences are as such forward-looking statements. Finally, please note that on today's call, management will refer to non-GAAP financial measures in which CV Sciences excludes certain expenses from its GAAP financial results. Please refer to CV Sciences' press release from earlier today for a full reconciliation of its non-GAAP performance measures to the most comparable GAAP financial measures. This morning, the company issued a press release announcing its financial results. Participants on this call who may not have already done so may wish to look at the press release as the company provides a summary of the results on this call. The press release may be found at www.cvsciences.com. I would like to now turn the call over to CV Sciences' Chief Executive Officer, Mr. Joseph Dowling. Joe?
Joseph Dowling: Good morning, everyone. Thank you for joining our call. This morning we issued a press release reporting results for our fourth quarter and for the full year ended December 31, 2022. Before I turn the call over to Joerg to comment on our Q4 and full year financial results, I will provide an overview on our accomplishments during 2022, the continuing challenges we face, and the steps we have taken and continue to take to remain a competitive force in our industry. Our industry has faced serious challenges since early 2020, and those challenges, including brand saturation and continued inaction by FDA and Congress, persisted in 2022. Despite the challenging environment, we have made significant progress to position the Company to achieve profitability and free cash flow in the near term. Over the last several quarters, we have discussed the challenging external environment on our industry and company. Our proactive steps during 2022 to address these challenges were significant and included continued realignment to make sure we have the right personnel, the right partners. And the resources to optimize our operational effectiveness. Two, personnel realignment during 2022 continued, our headcount at the end of 2022 was 44, down 27 positions from the end of 2021. Three, we have evaluated every vendor relationship, including contract manufacturers, packaging suppliers, ingredient suppliers, every professional service provider, including legal, accounting and other consultants to ensure that we have the right partners and are receiving optimal value. We have optimized our facility costs. During 2022, we moved from a 30,000 plus square foot facility to a facility that is approximately 6000 square feet. This move alone resulted in annual savings of approximately $1 million with zero decline in productivity. The timing of this move was ideal and coincided with a hybrid work model resulting from the pandemic that includes both remote and online work schedules. We completed the outsource of our warehouse fulfillment operations with an established 3PL operator that has enabled our warehousing and fulfillment to become more cost efficient while at the same time improving shipping times and customer service to both B2B and B2C customers in all geographic regions. The original business model of CV Sciences was to solely be a distributor of hemp biomass, primarily CBD Oil. We exited that business several years ago, but are still working through CBD Oil inventory. Up until 2022, we processed nearly 100% of our CBD Oil needs. In 2022, we fully exited the oil processing phase of the supply chain and are now working with manufacturing partners at a much lower cost to process our CBD Oil inventory and needs and at the same high value of quality our customers expect. All of these initiatives fully embrace our long standing commitment to an asset light business model that can take advantage of an industry that is maturing, becoming more professional and trustworthy. We are now starting to realize the positive impact of these cost efficiency measures. Joerg will discuss the specifics of this positive financial impact during his comments. On the revenue side, our immediate goal is to get the company back to a $5 million plus per quarter revenue run rate and higher. We know this revenue goal is in near term sight. We are overcoming the supply chain issues we experienced during 2022. We are starting to see brand contraction in B2B as retailers are working through old inventory and removing slow moving brands. In the natural product retail channel, we are the number one selling brand and we continue to see market share concentration of the top three brands in the 50% range. Customers are sticking with brands that they know and trust and we are at the top of the list in the natural channel. Our B2C sales channel continues to improve. Our B2C infrastructure is built for scale and can support nearly unlimited traffic and activity. We continuously improve our merchandising and marketing investment to optimize our B2C return on investment. We are seeing results in all critical B2C KPIs, including new visitors, increased subscription orders and revenue and AOV. Brand contraction, increased education and consumer trust will all help grow the B2C channel and we are prepared to grow the channel and take market share as the category evolves. We know from our long commitment to the B2B channel how important product quality, safety and customer trust is to growing the category. Customers can often learn about or even try our products from a B2B retailer and then transition to a B2C customer over time. This is one reason why both B2B and B2C channels are important and work synergistically. Product development will continue to be important for our growth strategy. 36% of our fiscal year 2022 revenue was from new products launched since May of 2021. Consumers are not only looking for high quality products like our PlusCBD products, but they increasingly want multi active ingredient products that carry a structure function claim that can be trusted. We are proactively addressing this trend and during 2022 launch several new products under our Wellness Line, including our Sleep, Calm and Relief products and our Over the Counter Topical Line. Also during 2022, we launched our innovative Reserve Line to extremely favorable customer reviews and demand. We will continue to innovate and launch new products that are responsive to our customers and their specific need states, including for anxiety, pain and sleep disorders. We believe that strong science supports our product claims and will win the trust and loyalty of our existing and new customers. On regulatory matters, we remain optimistic but know that patience will be required. We have seen progress at the state level and remain optimistic regarding further progress. While inaction by FDA in Congress is frustrating, we continue to be actively involved at the federal level in pushing Congress to make progress on a hemp and cannabis regulatory framework. Incremental legislative progress creates a reality that hemp and cannabis are constructively legal at the federal level already. This helps advance our industry and create an environment where quality companies and products can be trusted to grow the category responsibly. I also want to comment on our drug development program in treatment of smokeless tobacco use and addiction. We recently issued a press release announcing that the company received its formal certificate of grant from the Japan Patent Office for its patent application 721-⁠6697 for our drug development asset. The patent covers methods of treating smokeless tobacco addiction by administering pharmaceutical formulations containing CBD and nicotine. CV Sciences has also filed corresponding patent applications that provide similar patent protection in additional key commercial markets, with patents already granted in the United States, Canada, Australia, Germany. Great Britain, France, Spain, Netherlands and Italy. We believe this program and asset have significant value and while we have paused development of this program internally, we are seeking collaboration partners on this program. The challenges in our industry continue, but we are positioning ourselves to compete in the current environment. During 2022, we continue to streamline our operations, increase our cost efficiency and realign the company for growth and profitability. We have made great progress in structuring a very lean, cost efficient organization that is now repositioned to leverage our company's strengths, which includes our employees, the quality of our products, the trust in our brand and the strength of our distribution. We will be able to achieve profitability and cash flow positive at a much lower revenue number than many of our competitors because of the tough decisions that we have made and our much lower business model cost. Let me pause now and I will turn the call over to Joerg.
Joerg Grasser: Thank you, Joe, and also good morning to everyone. As Joe indicated, we are starting to see the positive financial impact of our cost efficiency measures across all functional areas of the company. We have significantly reduced our cost structure without significant productivity losses and we are well positioned for operating leverage as we increase revenues. An example of our increased operating leverage occurred during the fourth quarter of 2022 where we generated positive cash flow from operations of $0.2 million, which was the first time that we generated operating cash since Q2 of 2019. Let me dig into the detail for the quarter and yearend, our fourth quarter revenue was $3.9 million, compared to $5 million in the fourth quarter of 2021 and up from $3.8 million in the third quarter of 2022. The year-over-year decline is mostly due to lower sales volume in our B2B channel. The sequential increase was from additional ecommerce sales in Q4. Our Q4 sales continued to be negatively impacted by supply chain challenges, with the result that we were not able to fill all of our orders. The year-over-year volume decline was partially offset by higher sales prices per unit. The overall market continues to be fragmented and very competitive, which we believe is largely due to the lack of a clear regulatory framework. Our direct-to-consumer business performed really well, and associated sales represented 46.2% of total revenue in the fourth quarter, compared to 38.8% a year earlier and 43.8% in the third quarter of 2022. Online sales continue to become a larger part of our overall business. Our online revenue increased by 9% on a sequential basis, mostly related to higher volume due to increased traffic. We made solid improve our main digital KPIs. We were able to continue to increase our visits to our website on a sequential basis despite lower digital marketing spend. Our conversion rate was negatively impacted by being out of stock for certain products and higher sales prices. We also made good improvements during the quarter with our subscriptions and loyalty programs. Gross margin for the fourth quarter of 2022 was 40.4%, compared to 41.6% in the third quarter of 2022 and 32.4% in the fourth quarter of 2021. The improvement in gross margin compared to prior year is mostly due to reduced shipping and fulfillment costs, as well as higher average sales prices, partially offset by lower volume. We continue to work on further cost efficiencies in order to improve our gross margins. During the fourth quarter, we added a second distribution center on the East Coast for our B2B fulfillment to reach more of our customers with next day delivery and reduced shipping cost. SG&A expense for the fourth quarter was $3.6 million, significantly down from $10.1 million a year ago and up from $2.4 million sequentially. SG&A expense included a non-cash impairment charge of $1.2 million for 2022 and $5 million for 2021. Excluding impairment charges, our SG&A expense bill decreased significantly on a year-over-year basis by 52% and remained flat sequentially. These improvements are the direct results of our ongoing efforts to reduce our overall cost structure. We have taken out cost from all areas of our business and continue to do so in order to generate positive cash flows. For the fourth quarter 2022, we generated an operating loss of $2.1 million, compared to an operating loss of $8.8 million a year ago. Our adjusted EBITDA loss for the fourth quarter was $0.7 million, compared to $1.2 million in the third quarter of 2022 and $2.6 million in the fourth quarter of 2021. The improved operating performance and adjusted EBITDA loss as a result of our asset light business model, which allowed us to implement cost savings throughout the organization to minimize our cash outflow. On a GAAP basis, we reported a fourth quarter 2022 net loss attributable to common stockholders of $2.3 million, or $0.02 per share, compared to a net loss of $8.9 million, or $0.08 per share, in the fourth quarter of 2021. Now let me turn to our balance sheet. We continue to manage our cash position very carefully and ended the fourth quarter of 2022 with $0.6 million compared to $1.1 million at the end of the third quarter of 2022 and $1.4 million at the end of fiscal ’21. Cash used in operations during the year ended 2022 was $1.9 million, a significant improvement from the prior year of $7.5 million. As we stated earlier, we generated positive cash from operations for the quarter of $0.2 million compared to negative cash used in operations for the fourth quarter of 2021 of $1.2 million and $0.5 million in the third quarter of 2022. Subsequent to year end, we received ESE funds of $1.1 million from the IRA. We anticipate that we will receive an additional approximately $1.3 million in 2023. During all of 2022, we have more aggressively managed our overall cash position with improved cash collections on our outstanding AR and daily management of our inventory and vendor payables. We continue to work on reducing our cash usage in 2023, but anticipate that we will be dependent in the near future on additional capital to fund our growth initiatives. We continue to adjust our cost structure to be in line with our expected revenue with the overarching goal to generate positive operating cash on a continuous basis. We anticipate some modest cash usage in the first half of 2023. Our inventory was $6.6 million at the end of the year, compared to $8.6 million at prior year end as we continue to focus on efficient cash management and convert our raw material into cash. Also, during 2022, we extinguished our convertible note, which strengthened our balance sheet and helps us with our long-term strategic initiatives. Entering 2023, with our improved balance sheet and our reduced cost structure in place, we have the financial flexibility to continue executing our plan and look forward to improving trends as the year unfolds. Now, I will turn the call back over to Joe.
Joseph Dowling : Joerg, thank you. As Jorge and I have discussed this morning, we have realigned our company to the scale of the industry to achieve profitability and cash flow positive in the near term. We know that investors are looking for leaders like CV Sciences to achieve positive financial fundamentals such as profitability and free cash flow to demonstrate the viability of our industry. Also, we are poised to do that. We also continue to participate in the contraction and consolidation of both the cannabis and hemp industries, which we continue to do with our advisors in evaluating both inbound and outbound M&A opportunities. Also beyond the current opportunities we have domestically, we believe CBD is a global market and we are actively pursuing international prospects that will allow us to leverage our brand and high quality products, our infrastructure and the trust in our company. We are optimistic about the long term opportunity for our company and industry. We have made difficult decisions to ensure that we are scaled properly, operating efficiently, and are focused on adding long-term shareholder value. Our customers and retail partners love our products and they trust who we are. We continue to be a company of determined employees that produce safe and high quality products that meet the needs of our customers at value. Now I will turn the call back over to the operator for any calls from the analyst community.
Operator: [Operator Instructions]
 :
 :
Operator: Thank you. At this time, I will turn the floor back to management for any further or closing remarks.
Joseph Dowling : Thank you. I would like to thank everyone for being a supporter of CV Sciences and our flagship brand PlusCBD. We look forward to speaking again soon. Have a great day.
Operator: This will conclude today's conference. You may disconnect your lines at this time. Thank you for your participation.